Cyndi Holt: Good morning. I am Cyndi Holt, Vice President, Finance and Investor Relations, and I would like to welcome you to the Tanger Factory Outlet Centers Third Quarter 2015 Conference Call. Yesterday, we issued our earnings release as well as our supplemental information package and our investor presentation. This information is available on our Investor Relations webpage, investors.tangeroutlet.com. Please note that during this conference call, some of management's comments will be forward-looking statements. These forward-looking statements are subject to numerous risks and uncertainties and actual results could differ materially from those projected. We direct you to the Company's filings with the Securities and Exchange Commission for a detailed discussion of these risks and uncertainties. During the call, we will also discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP measures to the most directly comparable GAAP financial measures are included in our earnings release and in our supplemental information. This call is being recorded for rebroadcast for a period of time in the future. As such, it is important to note that management's comments include time-sensitive information that may only be accurate as of today's date, October 28, 2015. At this time, all participants are in listen-only mode. Following management's prepared remarks, the call will be opened for your questions. We ask you to limit your questions to two, so that all callers will have the opportunity to ask questions. On the call today will be Steven Tanger, President and Chief Executive Officer; Frank Marchisello, Executive Vice President and Chief Financial Officer; Tom McDonough, Executive Vice President and Chief Operating Officer; and Jim Williams, Senior Vice President and Chief Accounting Officer. I will now turn the call over to Steven Tanger. Please go ahead Steve.
Steven Tanger: Thank you, Cyndi, and good morning everyone. With AFFO per share up 13.5% over the third quarter of last year, this was another outstanding quarter for Tanger Outlets. In addition, we improved the quality of our portfolio and strengthened our long-term growth profile with the recent completion of the sale of five non-core outlet centers. In yesterday we announced that effective January 1, 2016 we will expand and enhance our Board of Directors with the addition of Dave Henry as an Independent Director upon his retirement has Vice Chairman and CEO of Kimco Realty. I’ll now turn the call over to Frank, who will take you through our financial results. Then I will follow-up with a brief overview of the recent asset sales and a discussion of our operating performance, our external growth opportunities, and our outlook for the balance of the year.
Frank Marchisello: Thank you, Steve, and good morning everyone. As Steve mentioned, third quarter AFFO per share increased 13.5% to $0.59 from $0.52 for the third quarter of 2014 and was $0.02 per share above First Call consensus. For the first nine months of 2015, AFFO per share increased 13.9% to $1.64 compared to $0.44 per share for the same period of 2014. Our balance sheet strategy remains conservative, targeting minimal use of secured financing, and a manageable schedule of debt maturities. Our debt to total market capitalization ratio was 32% as of September 30, 2015 and we continue to maintain a strong interest coverage ratio for the third quarter of 4.68 times. As of September 30, 2015, there was $324.2 million of available capacity under our unsecured lines of credit, and approximately 87% of our consolidated square footage was unencumbered by mortgages. The next significant debt maturity on our balance sheet is the October 2017 maturity of our unsecured lines of credit which we can extend for one-year at our option. We have paid a cash dividend for 89 consecutive quarters, and have raised our dividend, each of the 22 years since becoming a public company in May of 1993. Cumulatively, we have increased our annualized dividend by 35.7% over the last three years, the equivalent of a compound annual growth rate of 10.7%. Our dividend is well covered, with an expected FAD payout ratio for 2015 in the mid-50% range. At these levels, we expect to generate more than $100 million in excess cash flow over our dividend, which we plan to continue to reinvest in our business, by upgrading our properties and funding most our development needs. On September 30, 2015 we closed on the sale of four outlet centers for $44 million representing an estimated capitalization rate of 10.4% and recognize the gain of $20.2 million in the third quarter. Two of these centers are located in Kittery, Maine and the others are located in Tuscola, Illinois; and West Branch, Michigan, combine a total 439,000 square feet and accounted for approximately 1.9% of our 2015 property level net operating income forecast as of June 30. As of September 30, 2015 there were 89% occupied on average and they generate average sales per square foot of $252 for the trailing 12 months ended August 31, 2015. On October 5, 2015 we closed on the sale of 171,000 square foot outlet center located in Barstow, California for $106.7 million representing an estimated capitalization rate of approximately 5.8%. We currently expect to recognize the gain on the transaction of approximately $86.4 million in the fourth quarter of 2015. The center accounted for approximately 2.5% of our 2015 property level net operating income forecast. Generated tenant sales of about $803 per share or per square foot and was 100% occupied as of September 30, 2015. These centers had an average age of approximately 24 years compared to Tanger’s remaining portfolio average of 16 years. Because of the potential upcoming capital expenditures necessary to maintain and enhance these centers, as well as changes within each market, we no longer felt these assets could produce the growth in long-term internal cash flow and tenant sales we expect within our remaining core portfolio. While the Barstow Center was performing at a very high level, we believe it future growth opportunities to be negatively impacted as a result of its age, small size, remote location and is exceptionally high reliance on foreign tourism. We continue to analyze most efficient use of net proceeds from the recent asset sales which we have placed with a third-party qualified intermediary to facilitate potential future reinvestment in a tax efficient manner. Currently, we estimate the total combined tax gains related to the sale of these five assets and the sale of our ownership interest in the Wisconsin Dells joint venture earlier this year to be approximately $90 million to $100 million. If we are unable to identify and acquire qualified replacement property that fits into our strategic framework such as a wholly-owned and development project and/or 100% of the ownership interest in the current joint-venture as a sufficient to defer all the tax gains. We plan to use some of the proceeds pay a special dividend if required and any remaining proceeds to pay down outstanding debt balances. Our current expectations are that we will be able to defer approximately 80% to 90% of the estimated gains. I will now turn it back over to Steve.
Steven Tanger: Thank you, Frank. While we are eliminating the property sold from our portfolio does not have a significant impact on our current operating metrics. We believe these transactions improved our overall portfolio quality and strengthened our long-term growth profile. Excluding all five of the recently sold properties same center net operating income increased 3.3% during the quarter, exceeding last year's third quarter increase of 1.4%. Extending our streak to 43 consecutive quarters of same center net operating growth, getting back to the first quarter of 2005 when we first began tracking in this metric. On a year-to-date basis same center net operating income increased 3.9% compared to 2.6% for the first nine months of 2014. I am pleased to report that our blended leasing spreads for the first nine months of the year continued to outpace those achieved in 2014. Blended base rental rates increased 24.6% during the first nine months of 2015, on top of a 24.2% increase for the same period last year. We believe our ability to drive rents higher is a function of retailer demand for outlet space, and our legacy leases being at the low market rents on average. With the lowest average tenant occupancy cost ratio in our mall peer group at just 8.9% of our consolidated portfolio in 2014, we have been successful in raising rents, while maintaining a very profitable distribution channel for our tenant partners. These renewals, during the first nine months of 2015 accounted for 1,132,000 square feet or about 75% of the space coming up for renewal during 2015, and generated a 21.8% average increase in base rental rates. Retenanting activity accounted for an additional 430,000 square feet of leases executed during the first nine months. This space was released at an average increase base rental rate of 31.1%. The trailing 12 months ended September 30, 2015 average tenant sales within our consolidated portfolio increased 1% to $394 per square foot. In order to be more comparable to our mall REIT peers. Our tenant sales metric now excludes tenants occupying suites 20,000 square feet were larger. As a result 16 leases were excluded representing 465,000 square feet or about 5% of the total reporting square feet for the trailing 12 months ended September 30, 2015. Calculating tenant sales including the space as we have historically tenant sales for the trailing 12 months also increased 1% to $386 per square foot. Occupancy increased 40 basis points during the quarter to 97.2% from 96.8% at the end of last quarter. Again this quarter our occupancy is higher than any mall REIT that is reported to date. Bankruptcy related and brand-wide store closings during the second half of 2014 and the first nine months of 2015 totaled 152,000 square feet throughout our consolidated portfolio, 30,000 square feet of which closed during the third quarter. In addition, we currently expect an additional 37,000 square feet to close during the fourth quarter of 2015, bringing the total space we expect to recapture to approximately 189,000 square feet which represents only about 1.5% of our total consolidated square footage. Currently we expect occupancy to increase by approximately 40 basis points to approximately 97.6% at year end. On average the retailers vacating the space generated tenant sales and rent well below our consolidated portfolio average. These closings percent as the unique opportunity to upgrade our overall tenant mix increase tenant sales over time, mark rents to market and in some cases benefit from lease termination fees. Through September 30, 2015 we had executed leases with new tenants for approximately 46,000 square feet or 24% of the total space expected to be recaptured at a 49% average increase in straight line base rents or 30% on a cash basis. As we are recapturing space from these bankrupt or underperforming tenants, demand for space in Tanger Outlet Centers is being generated by tenants that are new to the outlet channel or to our portfolio such as rag and bone, TaylorMade, Alex and Ani, Mountain Warehouse, Yves Delorme, OROGOLD, Lululemon, Armani AAX and West Elm, and food centers like Zoe’s Kitchen, 1000 Degrees Pizza, I love grilled cheese and Schlotzsky's deli, just to name a few. Tenant demand for outlet space, totaled with our reputation within the industry of having a quality portfolio of outlet centers, and a refined skillset, for developing, leasing, operating and marketing them, has afforded us a robust external growth pipeline. We are now on track to deliver four new Tanger Outlet Centers in 2015, totaling 1,400,000 square feet, which represents a 10% increase to our footprint at the beginning of the year. During the quarter, we open the third of these next centers in Grand Rapids, Michigan on the hand on the heels of successful openings in Savannah, Georgia in April 2015 and at Foxwoods Resort Casino in Mashantucket, Connecticut in May 2015. Tanger Outlets Grand Rapids open to record crowds on July 31 requiring us to utilize overflow parking wants to accommodate a high-volume of shopper traffic. The 351,000 square foot center which also features about 80 brand name and designer outlet stores was 93% leased as of September 30. Construction is ongoing for miles South of Memphis, Tennessee and Southaven, Mississippi as we approach our November 20, schedule grand opening date. Current we expect the average year-end occupancy of these four new centers to be approximately 95%. The total projected cost of these four new centers is about $388.7 million and we currently expect them to generate a weighted average stabilized yield of approximately 10%. Our required equity contribution is expected to be a $153.5 substantially all of which has been funded as of September 30. We believe these developments will extend our proven track record of creating high-quality outlet centers at yields well above our cost of capital and should create significant long-term shareholder value. As I've mentioned on previous earnings calls, we plan to deliver one of the two new centers in each of the next two to three years. We expect open a new 355,000 square foot Tanger Outlet Center in Columbus, Ohio and partnership with Simon Property Group during the second quarter of 2016. Construction of the project as well underway and we currently believe this targeted opening date is achievable. In addition we expect to break ground on a new project in Daytona Beach Florida in the next couple of weeks. We recently achieved our pre-leasing threshold and pending final permanent progress will begin construction expected grand opening is in November of 2016. Work is ongoing on a number of pre-leasing development sites in our pipeline which we plan to announce upon the successful completion of the underwriting process. We are narrowing our 2015 FFO guidance to $2.60 to $2.20 per share. The components of this FFO per share revision include a $0.02 per share increase related to stronger-than-expected operations and lease termination fees during the third quarter of 2015 compared to our previous forecast. Offset by $0.03 per share dilution during the fourth quarter of 2015 related to the recent assets sales. We currently expect our 2015 estimated diluted net income to be between $2.19 and $2.23 per share per share. Our estimates are based on full year same center net operating growth of 3.5% to 4% assume average quarterly G&A expense of approximately $11.5 million to $12 million and do not include the impact of any potential refinancing transactions or the sale of any outparcels of land or any additional outlet centers. I would like to make an announcement regarding our management team now. Frank Marchisello our long-term CFO will be retiring in May of 2016 for personal reasons and to spend more time with his family. It’s hard to overstate the contributions that Frank has made to our company. I know I speak for everyone, when I say that we’ll be sorry to see him go. As many of you know Frank has been involved with the company since its inception in 1981 and help to structure and implement our initial public offering in May of 1999. Throughout at all his contributions have been immeasurable during this period of extraordinary growth, Frank has been an exceptional CFO and an even better friend for more than 30 years. On behalf of our Board of Directors and all of our Tanger team, we accept his resignation with regret, but are happy that he is in good health. And then he will be able to enjoy his retirement with his family. Our robust succession planning process, we are well-positioned and able to promote within our company. Jim Williams our Chief Accounting Officer who has been with the company for over 22 years will become our new CFO at the time of Frank's departure in May. Having Frank available for the rest of 2015 and into 2016 through the next order cycle will help ensure a smooth transition. We remain optimistic about the growth prospects for our company and our industry. As shoppers continue to seek brand name product direct from the manufacturer. Our tenant community continues to indicate its desire to expand into new markets with Tanger as a preferred partner. The resiliency of the outlet channel has been proven over the past 34 years and through many economic cycles. We have 3,000 long-term leases with good credit, brand name tenants, that have historically provided a continuous and predictable cash flow in good times and in challenging times. No single tenant represents more than 6% of our base and percentage rental revenues, or 8.1% of our gross leasable area. In addition approximately 90% of our total revenues are expected to be derived from contractual base rents and tenant expense reimbursements. Our teams top priority remains to be continue growing our earnings, continue raising our dividend and to execute our long-term strategic plan. And now I’d happy to turn the call over to any questions.
Operator: [Operator Instructions]. Your first question comes from Jeremy Metz with UBS. Your line is open.
Jeremy Metz: Hey, good morning out there. I just had one on the assets sales and the estimate cap rates you had provided when you announce those deals. I was wondering if you can give us more detail behind your NOI assumption there. Just are these backwards looking or forward-looking and then as there is a cap rate to the buyer or based on NOI to Tanger. I guess I am kind of thinking about Barstow in particular given your length of ownership there and the prop 13 tax reset?
Steven Tanger: The cap rates that we are quoting are forward-looking NOI and you know they are really not a whole lot of difference between with the buyers estimate of NOI would have been and ours. So it’s purely just looking forward what we believe the property would produce for the rolling 12 months.
Jeremy Metz: Okay so no realized - for prop 13 tax asset - there on Barstow unnecessarily.
Steven Tanger: What I'm sorry.
Jeremy Metz: For in terms of Barstow and the prop 13 tax assets. So there is no real estimate on that one to get to that 58 cap rate.
Thomas McDonough: This is Tom McDonough, that wasn’t in our numbers presumably the buyer was taking into account prop 13 and looking at theirs, but we don’t have the exact numbers that they used on their NOI.
Jeremy Metz: Okay, and then just in terms of the reinvestment of proceeds I was just wondering if you have anything under NOI today and then I assume some of that will be used for your new Daytona Beach project so just wondering is that going to be a wholly-owned development?
Steven Tanger: Daytona Beach will be wholly-owned and we are not under a letter of intent to acquire any assets at this time.
Jeremy Metz: Thank you.
Operator: Your next question comes from [indiscernible] with JPMorgan. Your line is open.
Unidentified Analyst: Hi, I was just wondering there was a dip at the fully property about 3% and just wondering if anything in particular happened there or if you could provide some more color?
Frank Marchisello: The dip in occupancy in Foley from 96% to 93% from a year ago, it’s basically only 17,000 square feet and that includes Jones, New York and a few other tenants that have closed based on their strategy to close store and that’s in the number we reported earlier of space we are getting back. And over time, we fully expect to get back to the 96%, 97% occupancy in Foley.
Unidentified Analyst: All right, thanks.
Operator: Your next question comes from Andrew Rosivach with Goldman Sachs. Your line is open.
Unidentified Analyst: Hi good morning, this is [indiscernible]. You have opened three new outlet centers in 2015 and like you mentioned your year-over-year FFO growth in the third quarter was over 13%. So with your Memphis center additionally slated to open in November. Do you think this FFO growth rate and the teens could continue into 2016?
Steven Tanger: We would be happy to give guidance for 2016 as we’ve done historically in the early part of next year I think in February and or so next year, but we are not prepared to give guidance at this point.
Unidentified Analyst: Okay, but was there any single line item in operating like G&A financing, development timing that made the third quarter particularly strong verses 3Q 2014?
Frank Marchisello: The increase in the new developments returns from new developments in our leasing spreads on renewals and retenanting space.
Unidentified Analyst: Okay, thank you.
Operator: Your next question comes from Christy McElroy with Citi. Your line is open.
Christy McElroy: Hey, good morning guys. Just with regard to the dispositions presumably this is the same buyer that you had worked earlier in the year, the sell-out what change there that a deal was ultimately consummated I’m pretty sure on last quarters call you referenced financing considerations, did the price change it all just trying to get a sense for change?
Steven Tanger: Basically they said they were not prepared to close and didn’t show up and we said fine, we pulled the transaction when we put the press release out they came back and they said they wanted know the chance and they closed, that’s basically what happened.
Christy McElroy: Clearly no change in the price at all and they were able to get the financing that they had originally wanted to get?
Steven Tanger: Yes, there is no change in the price.
Christy McElroy: Okay, and then I just wanted to follow-up on Jeremy’s question on the cap rate, did the blended cap rate was 71, if you take that 4.4% of NOI that the five assets comprised and you apply that to reasonable estimation for your 2015 portfolio, NOI consolidated portfolio NOI, if that get needs to about $11.5 million of NOI in the assets, which implies closer to 7.7 cap. So I guess what we are just trying to figure out is there is a difference in how you are calculating the NOI for the cap rate and the NOI that comprises the percentage of portfolio NOI and just trying to reconcile the difference that 7.1 cap versus the 4.4% of NOI?
Frank Marchisello: Somewhat apples and oranges, you are looking at our expectations since the percentage of NOI that we quoted was our forecast of 2015 NOI four centers that are open all year. And it is defined based on the same definition we use for same center NOI. So it does not include cap rent or market rent adjustments or any of those things. So it’s very difficult, we need to try to compare one number to the other.
Unidentified Analyst: So open all year meaning you would not include the contribution from the four properties - that the development properties that are opening this year?
Frank Marchisello: And it’s correct, because they are not in our tiered sales reporting.
Unidentified Analyst: But what is included is the five assets that you sold or at least the contribution of NOI as long as they were in your portfolios; those five assets are included in that portfolio NOI cap?
Frank Marchisello: The percentages of NOI reporting on the assets sold relate to the percentages of portfolio NOI that we used on page 8 of our supplement. And that will only include the NOI, and the centers that are opened for 12 full calendar months. So it would not include the new properties or any of the NOIs on those properties.
Unidentified Analyst: Okay.
Frank Marchisello: There is a footnote on the press release we issued on asset sale.
Unidentified Analyst: Right. I didn’t see that. I was just trying to do the math and get to the numbers that we can follow-up. Thanks, Frank.
Operator: Your next question comes from Carol Kemple with Hilliard Lyons. Your line is open.
Carol Kemple: Good morning. It looks like you all have a pretty good handle on what bankruptcies are going to have in fourth quarter? Do you have a number you're expecting for a lease term fees in the fourth quarter?
Steven Tanger: Lease termination, fees.
Carol Kemple: Yes.
Steven Tanger: Maybe another $200,000, it’s not significant.
Carol Kemple: And then it looks like your equity and earnings of unconsolidated joint ventures group a lot from the second quarter as well as year-over-year, where there any of your joint ventures that were performing a lot better in the third quarter or what contributed to that gain?
Frank Marchisello: Equity and earnings was up because of couple of the new developments were within joint venture arrangements. The Savannah JV, which opened with the unconsolidated joint venture and then I think that’s really probably the majority of that change.
Carol Kemple: So that would have been most the change from the second quarter to third quarter do you think?
Frank Marchisello: We had some increases in NOI that are joint venture properties that would make that increase.
James Williams: This is Jim Williams by the way. Year-over-year we had [indiscernible] opened on July 31 last year, so they were in for the fourth quarter, this quarter compared to last year. And also the Cookstown expansion that we did in the fourth quarter lastyearand the fourth quarter this year.
Carol Kemple: Okay, thanks.
Operator: Your next question comes from Rich Moore with RBC. Your line is open.
Richard Moore: Hello, guys, good morning and congratulations Jim and Frank, it's little hard to imagine Tanger without you, but I’m sure you’ll have some fun in retirement. Steve, I got a question for you on new development, it seems a bit like the cupboard is bare because you’ve had so many projects underway. And I'm curious if the sort of slowdown in terms of number of new projects is any indications that new developments earn is highly supported by retailers as they have been in the past?
Steven Tanger: Well, I don’t come to the same conclusion. The growth rate that we’re anticipating next year, we just announced this morning the Daytona Beach project as our second for next year in addition to the one in Columbus. So we have historically delivered one to two new centers each year and our guidance is we’ll be able to deliver one to two new centers in each of the new two to three year - next two to three years as we historically have. We have very strict underwriting criteria and we will not build on speculation, the tenants continue to support what we do just as a frame of reference. A year ago there were 51 centers announced and we were getting questions about overbuilding and 11 were delivered in 2015, three by Simon and four by Tanger, and four by other people. It’s only 11 out of 51 we delivered. It’s very hard. It’s easy to announce in center, but it’s hard to get one built. So we planned to deliver what we announced and that’s our strategy going forward. But tenant demand as you can see four centers we’ve opened this year will be north of 95% occupied by year end in the first year of operation which is pretty extraordinary when you look at any other property type or any other retail type.
Richard Moore: Okay. Good, thank you. And then on the potential 1031 exchange I think some of that would be the purchase of partner interest, is that I think you guys mentioned that right?
Steven Tanger: That’s right Rich, if you end up earning a 100% of the joint venture at the end of the day then the acquisition of your partner or partners qualifies for 1031 exchange.
Richard Moore: Okay, and so Frank can you give us an idea of which ones of the ventures I can imagine Simon is one for example, but that you guys might be looking at as potential purchases?
Frank Marchisello: Simon is not one we are taking about, but there are other partnership transactions we are in discussions, we are not prepared to announce anything at this time. And I just wanted to clear there is no guarantee that we will be able to differ the taxes, we are working on various strategies, it is complex as you might imagine and hopefully before year end we should have more clarity on what the plans are.
Richard Moore: Okay, great. Thank you, guys.
Operator: Your next question comes from Todd Thomas with KeyBanc Capital Markets. Your line is open.
Todd Thomas: Hi, thanks. Good morning. The question for you on your floating rate debt exposure, I’m just curious you have the line balances close to $200 million and you have $250 million term loan that’s also floating. What are your thoughts on terming out the line and/or fixing some of that floating rate debt and just curious maybe if you could just talk about what your threshold for risk on the floating rate side is altogether?
Steven Tanger: Hi Todd, right now we have about 11% of our total market capitalization is floating rate debt which we think is manageable. As we mentioned we did conclude the asset sales, we are studying various strategies to defer the tax and once those studies have been completed or concluded we will know the net proceeds that we will have to be able to invest and we’ll probably use some of it to pay down some of our debt.
Todd Thomas: Okay, does your current guidance assume any additional capital raising activity throughout the end of the year here? Thinking about sort of a bond deal or something like that?
Steven Tanger: We have no plans to issue additional long-term debt and we have no plans to issue any acquisitions in 2015.
Todd Thomas: Okay, thank you.
Operator: There are no further questions at this time. I will turn the call back over to Steven Tanger.
Steven Tanger: I want to thank everybody for participating today and for you interest in Tanger Outlets. Frank, Cyndi and I are always available to answer any of your questions. We look forward to seeing many of you in a few weeks in Vegas. Thank you.
Operator: This concludes today's conference call. You may now disconnect.